Operator: Welcome to Rockwell Automation's quarterly conference call. (Operator Instructions) At this time, I would like to turn the call over to Rondi Rohr-Dralle, Vice President of Investor Relations.
Rondi Rohr-Dralle: Good morning and thank you for joining us for Rockwell Automation's third quarter fiscal 2010 earnings release conference call. Our results were released this morning and the press release and charts have been posted to our website at www.rockwellautomation.com. Please note that both the press release and charts include reconciliations to non-GAAP measures. Additionally, a webcast of this call is accessible at that website and will be available for replay for the next 30 days. With me today are Keith Nosbusch, our Chairman and CEO; and Ted Crandall, our Chief Financial Officer. Our agenda includes opening remarks by Keith and that will include highlights of the third quarter and thoughts about our outlook for the remainder of fiscal 2010. Then Ted will provide more details around the third quarter financial performance and our revised 2010 guidance. We'll take questions at the end of Ted's remarks and we want to get to as many of you as possible, so please limit yourself to one question and a follow-up. We expect the call today to take about an hour. As is always the case on these calls, I need to remind you that our comments will include statements related to the expected future results of the company and are therefore forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Our actual results may differ materially from our forecasted projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all of our SEC filings. So with that, I'll turn the call over to Keith.
Keith Nosbusch: Thanks, Rondi. Good morning and thank you for joining us on today's call. The economic recovery continued through our third fiscal quarter, even somewhat stronger than we expected, and our results reflect that in a very positive way. Our revenue performance was outstanding with 25% year-over-year growth and 9% sequential growth. I was really pleased to see the broad-based nature of our revenue growth with all regions contributing to the strong year-over-year performance. Product revenue in the quarter was once again better than our expectation. Year-over-year growth was over 35%, more than 10 points higher than the year-over-year growth rate in Q2. We turned the corner in Q3 in our solutions and services business. As expected, we saw a year-over-year growth for the first time since the second quarter of fiscal 2009. And the solutions and services book-to-bill ratio was a healthy 1.1 this quarter. Operating margins improved 7 points year-over-year, primarily on the strength of volume leverage and we increased spending to fuel future growth. There are some other highlights of the quarter. We had strong growth in emerging markets with exceptional 42% growth in China. Latin America had very strong year-over-year growth and solid sequential growth, and we exited the quarter with record backlog in this region. We continue to make progress globally in our process business. Process revenue grew 16% in the quarter. Our process business in Asia grew over 40%. And we had significant wins in new applications for pharma, chemicals and power. And legacy DCS conversion opportunities continue to grow. Our momentum with OEM machine builders continued in Q3 as our revenues spanned the wider footprint of customers and machines. We continue to generate considerable free cash flow in Q3. Our balance sheet remains very solid. And based on our confidence in our ability to generate cash throughout our business cycle, in June, we raised our dividend by 21%. These great results are a testament to our talented and dedicated employees and partners and their steadfast commitment to our customers' success. Let me set the stage for our outlook for the remainder of the fiscal year. There has been some noise in the macroeconomic indicators, but generally they remain at relatively healthy levels and we aren't expecting any significant changes in the near term. The is increased concern about sovereign debt issues in Europe, but we have not seen any slowdown in orders or frontlog activity to date. In industrial markets, MRO, small and OEM demand is stable. While quotation activity for larger capital projects is kicking up, customers in developed markets are still cautious about committing to large capital spending. And we have not yet seen a pickup in larger capital project orders. So with that as the backdrop, let me provide more specific expectations regarding our Q4 outlook. We are confident we will see sequential growth in solutions and services revenue in Q4, given the backlog coming into the quarter. For our products businesses, we believe that Q4 revenue could be about flat compared to Q3 after the effects of normal seasonality in Europe and the end of restocking in our channel. In total, we expect revenue to be up sequentially in the fourth quarter by about 4%. Given these expectations and with three quarters of solid performance under our belt, we are providing a revised outlook for fiscal 2010 full year earnings per share of $2.95 to $3.05 on revenues of approximately $4.8 billion. Let me close with a few comments. We have performed very well in the early part of the recovery. I am confident in our strategy and our ability to execute. We are well positioned to take advantage of improving market conditions as we proceed through this cycle. Although the macroeconomic outlook is uncertain, we are optimistic that the global recovery will continue, and we have begun to make some incremental investments to support our future growth. We remain committed to delivering shareholder value by prudently investing in high-return growth opportunities and appropriately returning cash to shareholders. Now I'll turn it over to Ted.
Ted Crandall: Thanks, Keith, and good morning to everybody on the call. As Rondi mentioned, we've posted charts to our website and my comments will reference those charts. I'll start debriefing on chart one, which is our Q3 results summary. Revenue in the quarter was $1.268 billion, up 25% from Q3 last year. Only $5 million of the year-over-year revenue growth was due to currency. So results were approximately currency-neutral year-over-year. Total segment operating earnings were $198 million, up 129% from $86 million in Q3 last year. General corporate net expense was $23 million; that's about $3 million higher than our expected quarterly run rate, and primarily due to higher performance based compensation related to the Q3 performance and our revised full year outlook. The effective tax rate in the quarter was approximately 23%. There were no significant discrete items in the quarter, and the year-to-date effective tax rate was 20%. EPS from continuing operations was $0.83, up from $0.23 in the third quarter of last year. Average diluted shares outstanding in the quarter were $144.3 million. And during the quarter, we repurchased approximately 1.2 million shares at a cost of about $68 million. At the end of June, we had approximately $528 million remaining under our existing $1 billion repurchase authorization. Please turn to chart 2, the Q3 Results: Rockwell Automation Total. On the left side of this slide, you can see the 25% year-over-year revenue increase as well as the 9% sequential increase, a reasonably steady upward trend across the past four quarters. Channel restocking contributed about 3 points to the growth, similar to last quarter. Q3 was another strong quarter for our product businesses with year-over-year growth of about 37%. And moving to the earnings chart on the right side of the slide, you'll see the 129% year-over-year increase in operating earnings and a 12% sequential increase. Operating margin for the quarter was 15.6%; that's up 7.1 points compared to the last year and up about 40 basis points from last quarter. Similar to last quarter, the year-over-year improvement is largely driven by significantly higher operating margin in the architecture and software segment. However, in total for the company, the margin improvement continues to reflect strong volume leverage and improved mix, partly offset by higher compensation costs and beginning in Q3, some deliberate increased spending to support future revenue growth. During our April earnings call Keith mentioned that we intended to increase spending beginning in the second half of the year. In Q3 we increased spending by about $20 million, primarily in technology investments and customer-facing resources with a particular emphasis on emerging markets. We're pleased with the year-over-year earnings conversion realized year-to-date, and as you'll see reflected in the guidance, we continue to expect a very strong result for the full year. Although not displayed on this chart, our trailing fourth quarter return on invested capital was 17.7%. That compares to 14.8% last year, and 13.2% last quarter. We expect return on invested capital will further improve as we continue to see favorable year-over-year earnings comparisons. Now we'll turn to Chart 3, the Q3 results for the Architecture & Software segment. Looking at the left side of this chart, you'll see another quarter of very strong sales performance in our architecture and software segment. This is the fifth consecutive quarter of increased sales. Sales in Q3 were $554 million, up 39% compared to the same quarter last year, and basically all organic growth. Sequentially sales were up 7%. Operating earnings in the quarter nearly tripled to $125 million, and operating margin for the quarter was 22.6%, 11.8 points higher than the third quarter of last year with the increase predominantly due to volume leverage and despite higher compensation costs and gross spending. Operating margin was down 1.2 points sequentially, primarily due to the increased spending. The growth spending included additional development dollars related to our integrated architecture, as well as the segment share of customer-facing investments. Chart 4 covers our Control Products and Solutions segment. Sales in Q3 were $714 million, a 17% increase compared to Q3 last year. Currency contributed about 60 basis points to the year-over-year growth. Sales increased 10% sequentially in this segment. In the product businesses of control products and solutions, sales increased both year-over-year and sequentially at rates that were similar to the architecture and software segment. Solutions and service business revenues increased 6% year-over-year and 14% sequentially. This is our first quarter to return to year-over-year growth in solutions and services, and the sequential growth played out pretty much as we expected given that we had built backlog over the first half of the fiscal year. Solutions and services orders also continued to improve in Q3. Segment operating earnings increased by 69% in this segment and operating margin was 10.2%, an increase of 3.2 points compared to Q3 last year, and primarily due to higher volume. Operating margin was up 1.8 points sequentially. Turning to the next chart, chart 5 provides a geographic breakdown of our sales for the quarter. The far right column shows growth rates excluding the effects of currency translation. I think the most important message here is just the very good year-over-year growth demonstrated across all regions. Latin America was particularly strong with a 40% year-over-year increase. Asia-Pacific sales increased by 23% compared to last year with growth in emerging Asia 31%. And as Keith mentioned, we had an exceptional quarter in China with 42% growth year-over-year. And we saw good sequential growth in all regions including EMEA on a local currency basis. Now we'll turn to chart six and we'll look at free cash flow. We have continued to generate considerable free cash flow. Free cash flow for the quarter was $117 million. Free cash flow conversion on net income was 98% in the quarter, and a 127% year-to-date. Our balance sheet remains strong with sizable cash resources and a comfortable debt to capital position. Based on the strength of our balance sheet and confidence in our ability to continue to generate significant free cash flow, we increased our dividend by 21%. That increase will be effective with the dividend that we pay in September. And that brings us to the final chart, which addresses our outlook for the full year fiscal '010. As Keith mentioned, we're increasing our guidance. We now expect sales to be at or a little above $4.8 billion, basically the high end of our previous guidance range. Excluding currency effects, the new revenue guidance represents year-over-year growth of 9% to 10%. We expect currency to contribute about two points to year-over-year growth. We expect operating margin for the full year to be at or maybe a little above 14.5%. We expect our fiscal 2010 EPS to be in the range of $2.95 to $3.05 compared to the previous range of $2.60 to $2.90. We expect a full year tax rate between 19% and 20%. And finally we continue to expect free cash flow conversions to be above 100% for the full year. And with that, I'll turn this back to Rondi to begin the Q&A.
Rondi Rohr-Dralle: Thanks, Ted. Okay, Sally, we're ready to open the line for questions.
Operator: (Operator Instructions) Your first question comes from the line of Robert Cornell with Barclays Capital.
Robert Cornell - Barclays Capital: So I guess the news is, the turn in the solutions business. And maybe you could go over that in a little more detail, I mean what regions, what products, the backlog build; just maybe give us some more color there Keith.
Keith Nosbusch: Well, I'm not so sure if that's the news, because we kind of expected that based upon the fact that we had book-to-bill ratios over one for the first two quarters. And so the fact that we turned the corner is significant, given that it's the first time in five that we've been there. But it was totally expected. And it happened pretty much universally around the world. We had continued strength in certainly the process space, which is in area that we, as you know Bob, we've been very focused on. And the fact that we're now generating revenue growth on a year-over-year basis in the process space is very good news for us. And I would say that may be the bigger news, the fact that not only have orders been positive, but we have turned the corner on revenue in the process space. And obviously our revenue was made up of products and solutions. And certainly this was the quarter that our solutions business turned positive in process. And that's very encouraging, because we think that's a precursor to stronger long term growth as the project business continues to evolve in some of the more late cycle businesses. So I think it's the area of process and the growth there that we're mostly (involved) in, and I think an indicator of a real turn.
Robert Cornell - Barclays Capital: I guess that's what I saw as well. I mean could you differentiate though, the comments around the solutions business doing better, and still the reluctance for customers to make commitments to big projects. There seems to be a bit of a contradiction there.
Keith Nosbusch: Apologies here. Well, I think what that says is that we're still not seeing the larger projects in more of the mature markets. And we have been seeing the projects in emerging markets over the last couple of quarters. And in fact in some of the emerging markets, this business is lumpy as you well know, but we were seeing orders. It's just that we're not seeing the rep and the build of the pipeline across multiple geographies and multiple industries. So I think the dichotomy is only in the magnitude of the growth and where it's occurring. And I think the large project business comment was really around mature. If you remember, in the second quarter, we said that hit our high end. We expected to see project growth in our third and in particular our fourth quarters. And the comment about not seeing that yet is really around that characterization, and that's mainly in the U.S. and Western Europe. So a little bit of a mixed bag there, but I think more mature as opposed to emerging market commentary.
Robert Cornell - Barclays Capital: Final question from me. Could you talk about the growth spending, was $20 million in the quarter. I mean is that sort of going to be a run rate going forward, are you going to ramp it up, is the number going to be roughly the same in '11? I mean, how do you see the growth spending sort of ramping?
Ted Crandall: I think you remember, last quarter we talked about spending an incremental $50 million in the second half. So that was $20 million in Q3. We would expect that to increase by about $10 million as we go into Q4, and that will get us to the $50 million in the second half. So we'll exit at about a $30 million run rate.
Robert Cornell - Barclays Capital: And do you expect that to be the run rate going forward?
Ted Crandall: Absolutely, and we hope we'll be able to add to that as we move into fiscal '11. But right now, given what we know, that's our plans, and our goal is to increase spending as we move through the cycle and we demonstrate the revenue growth.
Operator: Your next question comes from the line of Mark Douglass of Longbow Research.
Mark Douglass - Longbow Research: We'd picked up in the channel that electronic component shortages continue to be an issue. Sometimes they can get around it by offering maybe a couple of hot products they can upgrade. So related to that, do you think that's limited to your sales book? Can you confirm that? And then if it's so, did it limit your sales growth in the quarter with some sales gotten pushed up maybe? And is it an industry wide phenomenon?
Keith Nosbusch: I would say that that did not impact our sales at all in the quarter. And in fact we were able to work down some of the backlog in the quarter that we built in our second quarter because of electronic shortages and allocation. And our operations team and supply chain people have done just a great job bringing in the parts. And I would say right now, we're basically back to the normal flow and normal lead times. And I'm speaking now as of basically the end of July. So we're not expecting any impact going forward. Obviously, the result was spot. One component issue that can bite your butt, but our team has really done a good job of working that. We've made substitutions as you mentioned. We did redesigns in our engineering community. So right now, we're not expecting any impact, or seen any impact from the allocation of electronic components, which is an industry wide phenomenon.
Mark Douglass - Longbow Research: Okay. So you didn't lose any sales to competitors because of it?
Keith Nosbusch: We did not.
Mark Douglass - Longbow Research: And then final question. Ted, you talked about the restocking; you think it added about three points. Where was that restocking occurring, because it doesn't seem like distributors are doing much stocking. Is this more end users picking up on their inventory, and would you expect maybe distributors to begin picking up their inventories if they haven't already?
Ted Crandall: Mark, our comment this quarter and in all previous quarters when we talk about restocking is strictly what we see happening in our channel. And so, our distributors' inventories this quarter were up from last quarter. Our distributors' sales to their customers saw a sequential increase. So I would say most of that inventory increase was just a natural increase reflecting the increased business levels they were seeing. But as Keith mentioned, a little bit of that increase was us catching up on some of last quarter's customer service issues, when probably the distributors' stock should have been a little bit higher again the last quarter.
Operator: Your next question comes from the line of Richard Eastman with Robert W. Baird.
Richard Eastman - Robert W. Baird: Could you just talk a minute or two? You had mentioned the architecture and software business probably generated the upside surprise to the quarter in sales. Could you just talk about perhaps the vertical markets that generated the upside to your earlier plan?
Keith Nosbusch: Sure. But just to be clear, the upside was across our product businesses. Obviously A&S, to your point, is all a product business. But also, CP&S had very similar growth in the product businesses of industrial control and our drives businesses. So it was across the product portfolio, what we determine to be over-performance from our earlier expectations. The verticals that we saw this in, really the continued strength in auto and tire that we believe certainly performed above the company average. Water and waste water continue to perform very well globally. And the consumer products markets, in particular food and beverage is where we saw the additional increase.
Richard Eastman - Robert W. Baird: Okay. And then just as a follow-up question. In Latin America that 40% growth that you flagged in local currency, is that primarily driven by the OEM business for you?
Keith Nosbusch: No, not in Latin America. We do have a very solid OEM business there, but the majority of that would be in areas such as mining, such as oil and gas, and a little bit in automotive and consumer. But it's more of a resource based region, and it's probably the smallest region for OEMs.
Operator: Your next question comes from the line of John Inch with Merrill Lynch.
John Inch : Just firstly, as a clarification, the 3% restock, was that 3 percentage points of the 9% sequential or the 25% year-over-year?
 Merrill Lynch: Just firstly, as a clarification, the 3% restock, was that 3 percentage points of the 9% sequential or the 25% year-over-year?
Ted Crandall: The 25% year-over-year.
John Inch : So effectively, we are talking about a fairly de minimis contribution versus last quarter. Is that correct, Ted? Because last quarter was three, and this quarter was three. Is that the way to think about it, the actual magnitude of the total is so small, and some was not nearly the significance?
 Merrill Lynch: So effectively, we are talking about a fairly de minimis contribution versus last quarter. Is that correct, Ted? Because last quarter was three, and this quarter was three. Is that the way to think about it, the actual magnitude of the total is so small, and some was not nearly the significance?
Ted Crandall: I think that's a fair way to think about it.
John Inch : So on that point, just going back to this, you guys had expected effectively very little in the way of restock. Did the restock effectively play out the way you saw it? You saw restocking was a function of just higher volume. The way you saw it would have been the case heading into the third quarter.
 Merrill Lynch: So on that point, just going back to this, you guys had expected effectively very little in the way of restock. Did the restock effectively play out the way you saw it? You saw restocking was a function of just higher volume. The way you saw it would have been the case heading into the third quarter.
Ted Crandall: Correct. We expected little restock in Q3, because we thought we are going to see relatively flat product demand. Given the product demand increased the way it did, the restocking was kind of a natural result.
John Inch : That makes sense. I think some people may think the 3 percent is comparable to the prior quarter's 3, and effectively you're saying it's not. So my other question is that China, and this could be rather a question for Ted. So last quarter, China was up 15. It was okay, but GDP was up almost that much. And now it looks like you guys got a lot more traction in China. Was there a little bit of lumpiness in the China results in the sense that maybe what you had hoped to book in the prior quarter came through this quarter, or are you just starting to see broader traction based on your new distribution channel? What's really going on? Do you think it can be sustained?
 Merrill Lynch: That makes sense. I think some people may think the 3 percent is comparable to the prior quarter's 3, and effectively you're saying it's not. So my other question is that China, and this could be rather a question for Ted. So last quarter, China was up 15. It was okay, but GDP was up almost that much. And now it looks like you guys got a lot more traction in China. Was there a little bit of lumpiness in the China results in the sense that maybe what you had hoped to book in the prior quarter came through this quarter, or are you just starting to see broader traction based on your new distribution channel? What's really going on? Do you think it can be sustained?
Ted Crandall: Yes. Well, certainly I don't believe it can be sustained at 40%. But you kind of answered it John, and that is, as all of you know, our business is lumpy. And we always say, don't take the results of one quarter and project it. And certainly, we felt we were low last quarter. And once again our goal is to grow north of 20% on an annual basis in China, and we fully expect to do that for an extended period of time. So you know, as we said a while back, we oscillate around the trend line. That trend line is 20% growth. And I would say that last quarter was an aberration, and this quarter the 40% happened, one, because of great performance, but secondly some of those projects did push out a little, and they came in, in Q3. So we are expecting another solid quarter and continued growth. And to your point, we are building a channel; distributors and systems integrators. That's a long term process. But we do expect that to continue to get better and to help us reach a broader segment of the market and support a growing installed base. So they are very important. But I wouldn't say any one quarter once again is based upon a build out of the channel. That is a steady, continuous effort that you'll see as a long term value creator for Rockwell in China.
John Inch : Just lastly Keith, or Ted, what was the progression of business through the quarter, and to what you've seen thus far in July. I mean, was there lumpiness or was it steady or did it accelerate? Maybe even if you could inject a little commentary of regionally what happened?
 Merrill Lynch: Just lastly Keith, or Ted, what was the progression of business through the quarter, and to what you've seen thus far in July. I mean, was there lumpiness or was it steady or did it accelerate? Maybe even if you could inject a little commentary of regionally what happened?
Keith Nosbusch: I am not sure I can go regionally very well, but certainly the third quarter is probably one of our most steady quarters if you will. There's really no large deviation traditionally, if you will. And I think this quarter played out exactly like that, where we were able to see continuous progress. The last month tends to be stronger, but not significant like you will see in a September, or in many cases a March. So this tends to be a pretty flat quarter. That's what this generally was. And I think that what we're seeing so far in July would be sales and order rates that are consistent with the increase in the guidance that we gave. So I would say a continuation of Q3 performance and what we baked into the increase in guidance.
Operator: Your next question comes from the line of Nigel Coe with Deutsche Bank.
Nigel Coe - Deutsche Bank: Just wanted to again pick on the restocking comments. Can you maybe just talk about the days of sales in the channel? Has that remained pretty constant?
Ted Crandall: I would say that it has remained relatively constant. I mean the distributor inventories generally turn about six times a year, and that has not changed significantly over the course of the last couple of years. It ran up a little bit last year when sales were falling off relatively rapidly. And it's come down a little bit this year. But as I said, there is nothing unusual on the last few quarters about distributor inventory levels, given the level of sales they're seeing to their customers.
Nigel Coe - Deutsche Bank: Turning to 4Q, the guidance, you mentioned the pickup in corporate. I think you mentioned the incentive comp issue. How does that then look into, into 4Q? Do we see another pickup in 4Q or would you expect it to be fairly constant?
Ted Crandall: I would expect general corporate net to probably be about at the same level as Q3 or maybe slightly lower than that.
Nigel Coe - Deutsche Bank: Obviously you've gone to the point estimates of revenues in 4Q. But the margin range is still fairly wide. Based on the comment you just made on corporate expenses, it looks like your segment margin is about 14 to 14.5 for 4Q. I understand you've got investment spend and probably a negative mix on CPS's (inaudible). But any reasons for the wide range on margins that is the point estimate on revenues?
Ted Crandall: I guess what I would have said is I think we've got a relatively narrow range on EPS now compared to where we'd been earlier in the year. I wouldn't argue with your margin analysis, and I would say the biggest issue in Q4 is going to be mix, particularly because we expect to see the largest increase in sales sequentially to be in our solutions business.
Nigel Coe - Deutsche Bank: And then just finally on pension, we're hearing a lot more traction on pension. Can you maybe talk about discount rates and how that's shaped up for fiscal '11 in terms of expense comparative here?
Ted Crandall: I'm not sure there is a lot to talk about with regard to pension at this point in time. As I reminder, our funded status gets measured once a year at the end of our fiscal year in September. Like most companies, last year, our funded status decreased due to the combination of reduced asset values and a lower discount rate. Asset values have improved somewhat so far this year, and it's probably a little too early to call discount rate. I would say based on the trends we've seen so far to date, it probably is looking slightly lower than it would have looked a year ago. All other things being equal, that would say there might be a small increase in pension expense as a consequence of discount rate.
Nigel Coe - Deutsche Bank: By small, you mean the step-up in the pension expense next year will be lower than this year?
Ted Crandall: Assuming we see a change in discount rate that is less than 25 basis points, that impact alone would be substantially smaller than the step-up in pension expense we saw last year.
Operator: Your next question comes from the line of Mark Koznarek with Cleveland Research.
Mark Koznarek - Cleveland Research: I'm just wondering if we could touch on just a couple of things we normally do, which is some of the A&S categories, logics increase, processor overall increase.
Keith Nosbusch: Obviously, with the performance of A&S this quarter, you would expect that logic had a good quarter. And in fact, they did. Our logics business was up 36% year-over-year. And actually the legacy processors were up even better, 39% year-over-year. And that was really driven by the strength in MRO and the small project business, with some additional benefit from restocking. So I also just want to remind everyone that across the cycle, we're expecting that legacy processors will continue their 10% decline. But certainly, given the dramatic drop last year and the increases this year, we're seeing legacy being a very solid plus contributor. But we're very pleased with the logics growth and in particular compact logics and the fact that that continues to demonstrate the scalability of the architecture and the success that we're having continuing to convert and build our OEM conversion pipeline. So good performance out of both pieces of the processor family.
Mark Koznarek - Cleveland Research: So overall, processors would have been a high 30s number?
Keith Nosbusch: Yes, it would have been about the same, mid to high 30s.
Mark Koznarek - Cleveland Research: Okay. And then we had heard that you guys have recently established a more formal arrangement regarding some of your process control activities with E&H. And I'm having a hard time understanding how significant that could be if it's really just sort of a different veneer on what you've already been doing, because E&H has been an InCompass partner for some time. Or is this a pretty significant move that could accelerate process revenues for you guys?
Keith Nosbusch: Well, I wouldn't say it's a significant change in the relationship. I think it's a continued evolution of what we've been working on to where we're trying to continue to align the portfolio of instrumentation with the process control and to deliver an integrated solution, and to do that seamlessly through our sales and our collective organization. So I think what you may be detecting is, we're continuing to align all the geographies, all the regions, all the players together, and that's something that just takes time and continued evolution, but that really was the goal and the strategy from day one. I think we're executing better; I think we're also integrating the portfolio better together, to where it's not just about sales, but also about delivering customer value from the asset management, the integration of the software packages and our ability to collaborate in the selling model, both at end users and OEMs. So I think it's just the maturing of the relationship, a continued expansion of the interoperability, the alignment of the networks. E&H has come out with some very strong product portfolios that are connected on Ethernet IP, which is a very significant advancement to once again, to create the integrated architecture and to have a information and asset management capability across the discrete and the process sides. So I think what you are seeing is more traction, more interoperability, more of our collective portfolios that plays well together. And quite candidly, we do see that continuing to improve, and obviously the goal is that it grows both of our process businesses at a faster rate. And certainly that's what each of us is looking forward to.
Mark Koznarek - Cleveland Research: And just a quick one for Ted. What would be a reasonable range for tax rate next year?
Ted Crandall: What we have said we are expecting in this cycle is basically to be a little bit below the kind of rates you saw in the last cycle. Now if you remember, in the last cycle and the higher growth years, we were in the range of 27% to 29%. So we are expecting probably in this cycle in the higher growth years to be more like in the range of 24% to 27%.
Operator: Your next question comes from the line of Steve Tusa with JPMorgan.
Steve Tusa - JPMorgan: Actually interested in the legacy business being up so strong. Can you just maybe talk about what's driving that? Are our customers trading down a bit? Is it a function of the kind of revitalization of the auto industry? And if you can maybe also talk about what your auto growth was in the quarter sequentially and year-over-year?
Keith Nosbusch: Well, certainly we believe the strength in legacy was driven by mainly two items; MRO, because it has a huge install base, and certainly as the continued strength in manufacturing occurs, those assets are being used and need to be upgraded and maintained. And the second is once again the fact that we have such a large installed base. When they are doing small upgrades locally in an area that had the older systems in, many times they choose to just keep that current vintage of products. So it really doesn't have anything to do with trading down. The functionality and cost really is not a driver between the two platforms at all. It's more of what the customer is trying to do for their long term architecture and control strategies. So it's strictly, from our perspective, the recovery of manufacturing and the need to support an installed base and support of small modifications and adds to existing lines. With respect to auto, auto was above the company average year-to-date, and in the quarter it was up a little bit sequentially. But certainly, the strength in, and we really talked about it as transportation, so we locked tire in there. And tire has been very strong, and in particular in Asia this past quarter and globally the past year. So I think that those are the two combinations there.
Steve Tusa - JPMorgan: And then just on corporate. How do we think about that? I mean, I hate to ask about corporate because it just seems like it's a little bit of a rounding here. But now that you've kind of mentioned two quarters in a row where you're putting some performance based comp in there, will that go up next year on the back of the performance based comp and maybe a little bit of pension. And how does corporate turn over the next couple of years? And then just one clarification on tax. I think you said 24% to 27%. How quickly do we get to that 24% to 27%? Is '11 kind of a more normalized year now, now that you have kind of ramped off the bottom pretty hard?
Ted Crandall: I think I'm going to try and avoid starting to provide line items of '11 guidance. But with that said, the general corporate net expense I think is probably a little higher run rate this year than I would expect, once we could pass this year as a consequence of performance based compensation, which will basically reset at the end of the year. In terms of the tax rate, generally I think in the cycle as we hit the higher growth years, we're going to be in that 24% to 27% range. This will play out depending on each year, and my guess is it will ramp that way across the next couple of years.
Steve Tusa - JPMorgan: And then one last question. This quarter in China was good, and that business has due to the investment undergone a pretty positive facelift over the last couple of years. How much more do you need to do there, and is that a big percentage of kind of the ongoing cost you'll have coming back in over the next couple of years?
Ted Crandall: Well, we believe we still have a lot to do in China. We believe there are a lot of opportunities. And as I mentioned a little bit earlier, we have to continue to build the channel. But in addition to that we have to build our own capabilities, and if we're going to have growth rates above or around 20%, we need to continue to add domain expertise and capabilities. And certainly China is one of the areas where we would expect to continue to be investing at a disproportionately higher rate with respect to our emerging market strategy and customer-facing resources. So China will continue to see strong investment. And we believe given the growth of China more to consumption, we think it's even a better opportunity for us in the long term. So we will continue those investments, and you can expect that a portion of those incremental dollars into the future will be in China.
Operator: Your next question comes from the line of Rich Kwas with Wells Fargo Securities.
Rich Kwas - Wells Fargo Securities: A quick question on the added costs. How does that split out by segment? I know you mentioned A&S had some this quarter, but where is it landing mostly?
Ted Crandall: I think it would be fair to say that a little more than a half of it is in A&S.
Rich Kwas - Wells Fargo Securities: And then a big picture question for Keith. If you think about MROs being nice positive here in the last couple of quarters, assuming the comp start to get a little more challenging and the contribution a little less significant and given your comments regarding developed markets with project type business, how should we think about the bridge from increased MRO to project related stuff and what is your current thinking there right now given what you're seeing in the market?
Keith Nosbusch: Well, certainly our thinking is that MRO expansion can (inaudible), at least from an incremental growth perspective. And we do need and we do expect the larger project spending to occur. For the continued growth that we're talking about, we have seen pickups in the frontlog on these large projects. People are still conscious in pulling the trigger. And I think they're just waiting to have, I should say, a little more clarity and a little more certainty in what both economic environment looks like as well as the regulatory environment to know what are the implications longer term of those investments. But we certainly believe and we think we're on that path towards increased project spending, particularly in the matured market into the next year.
Operator: Your next question comes from the line of Jeff Sprague with Vertical Research Partners.
Jeff Sprague - Vertical Research Partners: A couple of quick questions. Just on that last point, Keith, are there any particular vertical markets that stand out as where the frontlog is building when you think about the large project business?
Keith Nosbusch: Yes, we've started to see a little more pickup back into the oil and gas area in our third quarter. Also, as we had mentioned, with some of the growth in Latin America, we're seeing the mining areas and resource-based areas picking up as well. So I guess I would say, in general, we're seeing it now starting in some of the heavy industries, not necessarily in metals and pulp and paper yet, although there is a little more activity. But certainly, those other heavy industries is what we're starting to see the pickup with continued solid spending in infrastructure that we've seen earlier.
Jeff Sprague - Vertical Research Partners: And the flip side of another coin, when you talked about your A&S verticals, the strong ones, it sounds like everything was broadly pretty good. But in the quarter, were there any in particular that stood out as lagging?
Keith Nosbusch: Well, lagging, it wouldn't just be in A&S commentary. It would be a vertical in general. Certainly we believe metals continue to be weak. And life science is stable, but not a lot of additional spending going on there yet. So I would say those are the ones that are the weakest at this point in time and probably will continue to be a slow growth model going forward. And certainly, I would say the other area that just can't keep running at the rate it had been would be some of the infrastructure spending that was a key part of the China stimulus. That's going to, I'll just say, ramp down to a normal run rate, which is still solid growth. But when they executed their stimulus, what they did was pull forward projects that were already planned and certainly accelerated those. And that will continue to play out. But their infrastructure investment, I will say, will come down to a normal pre-stimulus spending as time goes on.
Jeff Sprague - Vertical Research Partners: And just one last one from me. I wanted a little more granularity on Europe, if you could give us a sense of just how much the E if you will grew in EMEA if you think about just kind of Western Europe in general and just kind of the texture of that growth too, was it OEM, was it export oriented? What's going on in the heart of Europe?
Keith Nosbusch: Well, actually there was some good news in the heart of Europe. There was growth in the E, if you will. In particular, we saw very strong year-over-year growth in Germany and Italy in particular. And I would say the reason for that, Jeff, is OEMs and a bunch of that export as well. So I think export in OEM Europe is doing well. And certainly some of the other spaces, as probably you know, are a little tougher. But we did see it in Europe, and we have the other growth area probably in the quarter that was stronger than others would have been, what was in the Middle East, some of the emerging areas. So those were the highlights in EMEA. And certainly we're pleased with the growth there. As you know, for us, Europe turned down later than the U.S., and we think now it's probably on recovery by a couple of quarters behind the U.S., just like it was a couple of quarters behind going in. So we are starting to see light back in European region.
Rondi Rohr-Dralle: I think we can take two more callers, but we got to make each one pretty quick, so we can get it in the next three minutes or so. So let's try and take the last two.
Operator: Your next question comes from the line of Scott Davis with Morgan Stanley.
Scott Davis - Morgan Stanley: I did want to take a little bit of a step back and just get your view, Keith, on kind of how this cycle is playing out compared to past cycles that you've witnessed on the automation front, I mean the interplay between kind of CapEx and OpEx and the pace of recovery, and then just a little bit of a big picture view from somebody who has been in this industry a long time.
Keith Nosbusch: Well, I maybe have been in it a long time, but all of these tend to be somewhat unique in what you think versus how it plays out. So this one I think would surprise me after how spastic drop was how fast and the initial rebound came back. And in particular, as we've been saying now for the last couple of quarters, the products business exceeded our expectations. Certainly we knew that it was at an unsustained low level, but I think the speed of the product recovery certainly surprised us, given the drop that we saw 12 months ago. I would say the other difference that we're seeing compared to other recoveries, I think it's less aggressive of the return of larger project spending. I think there is just too much uncertainty in the environment and there is lots of dimensions to that. But I think that is more cautious indeed in companies wanting to spend more money at this point in time. And I think they're trying to continue to drive productivity, continue to drive their existing assets and resources even harder. And I would have said that in a normal recovery that comes back at this rate, you would have seen a more aggressive larger project pulling the trigger on it than we're seeing at this point in time. So I think those are the two big picture activities that we've seen and that we're obviously monitoring very closely to once again try to determine what the shape is ultimately going to be. And that larger project commentary is really around the mature markets. And I would say the other thing that is different this time is that the world is much more connected in this cycle than in previous ones. The economies, the supply chains, the international businesses, there is just a much more global picture of the way decisions are made and the way the action, reaction occurs. And so I would say it's a much more integrated economy, businesses and all the other dimensions around it. And I would say that's very different than early in my carrier, and it is very different than just 2000, 2001, 2002. So I would say that's another significant difference, and we only see that getting tighter and tighter as time goes on. So I think the synchronization and the connectivity across geographies, across regions, across industry and within industry is a significant difference.
Scott Davis - Morgan Stanley: Let's move quickly to China. We keep reading about wage inflation as a potential driver of automation. But is that real or is there is just more kind of isolated areas in the trends to automate were in place prior to recent labor unrest?
Keith Nosbusch: I believe the salary increases will accelerate the move to automation, but china was investing in automation early on. There is only so much you can do with labor, no matter what the cost is. And as you continue to want to move up the value chain, continue to want to build world-class products with high quality, you do need to automate a lot of those applications. And while the intensity of the automation may be different, that's really the only difference based upon wage range. And I think that intensity now, given the acceleration, you'll see more people looking at additional areas that perhaps before were marginal. They may become a net positive for the need to automate. So China has been automated, almost 180 plants in the world. And we just did one couple of weeks ago in China. It's the world's most automated nutritional plant. And they are doing that because of quality, because of regulatory compliance and because they want to protect the image of their brand against the problems they have and other circumstances. So I hope it will be an accelerant. But China has been continually investing.
Operator: The final question comes from the line of Julian Mitchell with Credit Suisse.
Julian Mitchell - Credit Suisse: Just a very quick one on your emerging market strategy. Obviously, you're building out costs organically. Given the lot of what you sell through distributors and you've got a very financially (undegraded) balance sheet, your approach was to acquiring in the emerging markets in order to accelerate your footprint there on sales and distribution network?
Keith Nosbusch: Two answers there. With respect to the distribution network, that is not something that Rockwell Automation invests in, and we are not planning to invest in that in the emerging markets. We worked hand-in-hand with our channel partners, but those are independent businesses, so that they can support the full need of customers. And certainly that's a model that has worked for us and we expect that it will continue to work. And it has to date in many of the emerging markets that we've been in for many year, not just the new ones that we're after building in China and India and other areas. With respect to other acquisitions, absolutely, we are looking for acquisitions in the global marketplace. The emerging markets are where a lot of our focus and interest is. But also, in some of these markets, there is not a lot of mature technology players at this point in time. So a lot of our activity has been around domain expertise and people that can help us deploy automation systems. And we continue to evaluate the product portfolios of different companies, and we would see making acquisitions outside of the mature markets as we can find players and have the quality, the IT protection and the expertise to fill gaps that we have in our portfolio. So acquisitions, very interested in our product, services and solutions area in the emerging markets.
Rondi Rohr-Dralle: Thanks everyone for joining us. We're going to wrap up the call. And we look forward to talking to you next time. Thanks.
Operator: That concludes today's conference call. At this time, you may disconnect. And thank you.